Operator: Ladies and gentlemen, thank you for standing by. Welcome, and thank you for participating in the joint Media Analyst and Investor Call regarding Porsche AG's Q3 2025 results. This call will be hosted by Dr. Jochen Breckner, member of the Executive Board for Finance and IT. [Operator Instructions] At this time, it's my pleasure to hand over to Dr. Sebastian Rudolph, Vice President, Communications, Sustainability and Politics. Please go ahead.
Sebastian Rudolph: Yes. Thank you, and hello, everybody, and welcome to our joint media analysts and investors call. We're talking about the results of the first 9 months of 2025 of Porsche AG. And with me today are our CFO, Jochen Breckner; and Bjorn Scheib, our Head of Investor Relations. Jochen will give you a brief overview of our business performance year-to-date, then after a short break, we will hold two Q&A sessions: first, with analysts and investors, then with the media. As always, you can find the press release in the Porsche newsroom. The investors deck and the quarterly report are available in the Investors section of the Porsche website. And with this, I hand over to my colleague, Bjorn.
Björn Scheib: Sebastian, thank you very much. Good evening also from my side. And before we begin, please note that any forward-looking statements during this call are subject to the risks and uncertainties outlined in the safe harbor statement which is included in our materials. This introduction is also governed by this disclaimer. With this, I hand over now to Jochen.
Jochen Breckner: Bjorn and Sebastian, thank you very much. Also thanks, everyone, for joining this call. Good evening, everyone. Let me walk you through Porsche's performance in the first 9 months of 2025 and the strategic actions we have been taking. Let's start with the big picture. Porsche continues to build on a strong foundation, a loyal customer base, a compelling and completely refreshed product portfolio and one of the most iconic brands in the world. Keeping in mind the current gaps in our product portfolio, our unit sales are resonating well. As you've seen in our press release two weeks ago, Porsche reported robust delivery figures with 212,500 vehicles delivered to customers worldwide between Jan and September. Here, the share of electrified vehicles significantly grew to 35.2%. In Europe, the share even reached 56%. Our region overseas and emerging markets and the USA achieved a new all-time record. North America remains our largest region with 64,000 deliveries and a 5% increase. Now let's skip from deliveries to vehicle wholesales Here, Porsche sold 198,000 vehicles in the first 9 months. This is a year-on-year decline of 11% with a mixed picture across model lines and regions. The Macan showed strong momentum, becoming the best-selling model with 61,500 units. That's 10% increase year-over-year and includes 33,900 units of the new all-electric Macan. Sales of the Cayenne declined by 22% due to a prior year catch-up effect. The 911 saw a 6% drop linked to stack-up launches of the new generation. The 718 was impacted by limited model availability due to new EU cybersecurity regulations. North America, excluding Mexico, recorded a 6% decline in the first 9 months. This reflected temporarily lower imports after the summer break following high inventory levels at the end of Q2. China, including Hong Kong, saw a 25% drop. This was driven by ongoing market challenges in the luxury segment, intensified competition and a strategic focus on value-oriented sales. In contrast, our overseas and emerging markets grew by 3% to almost 40,000 units, which demonstrates resilience and growth potential. Porsche's Global sales remain well balanced across key regions. This underlines the strengths of the brand, the appeal of our product portfolio and the resilience of our diversified market presence. Despite adverse market conditions, incoming orders remain robust. This reflects strong brand desirability and a favorable product mix. Demand for individualization options remains unchanged on a very high level. In the first 9 months of this year, Porsche generated group revenues of EUR 26.9 billion. This is 6% below the prior year period. The under-proportional and moderate decline was primarily driven by positive pricing, along with higher revenues in the Financial Services segment. This performance underscores the strength and diversification of Porsche's business model even in a challenging market environment. Let's now take a closer look at our expense development in the first 9 months. Total expenses including cost of goods sold, distribution and administrative functions increased by EUR 2.3 billion year-over-year, reaching EUR 27 billion. Despite temporary relief from lower production volumes on cost of goods sold, Porsche's broad-based cost increases driven by several structural and external factors. These are the persistent inflationary pressure across the supply chain. A significant increase in R&D expenses, primarily due to reduced capitalization and higher depreciation and amortization, geopolitical challenges beyond our control, most notably the U.S. import tariffs and significant costs associated with our strategic transformation initiatives. To counterbalance these headwinds, our comprehensive profitability program Push-to-Pass delivered targeted efficiency improvements. This initiative reflects Porsche's disciplined execution and long-term commitment to innovation, regulatory preparedness and cost resilience in an inflationary environment. Nevertheless, group operating profit declined to EUR 40 million. This corresponds to an operating return on sales of 0.2%, a result that clearly falls short of our expectations. It is important to note, however, that this figure includes substantial extraordinary charges. Year-to-date, Porsche recognized approximately EUR 2.7 billion in extraordinary expenses related to its strategic realignment, portfolio adoptions and battery activities. In addition, tariff-related costs imposed a burden over EUR 500 million, which further impacted profitability. These charges also had a significant impact on the automotive segment, which reported a year-to-date operating loss of EUR 200 million. Let me emphasize, excluding the extraordinary effects from the strategic realignment and the U.S. import tariffs, the underlying performance of the automotive segment remains robust. This strength is driven by favorable pricing, the successful execution of our Push-to- Pass initiatives and a temporarily favorable foreign exchange and quality environment. Reflecting the operational strength of our ongoing business, Porsche's automotive net cash flow increased to EUR 1.3 billion by the end of the third quarter of this year, up from EUR 1.2 billion in the prior year period. This corresponds to a net cash flow margin of 5.6% compared to 4.8% a year earlier. This also highlights our continued focus on disciplined spending and effective working capital management. The strong cash flow performance in Q3 was supported by disciplined investment and spending practices as well as rigorous working capital management. Notably, based on our value-oriented production approach, we achieved a significant reduction in temporarily elevated inventories in the United States and China, which had built up by the end of Q2. Year-to-date, automotive net cash flow also reflects extraordinary outflows of approximately EUR 900 million. These are primarily related to our strategic realignment initiatives and tariff-related expenses. With that, let me turn to the outlook. We plan to continue our model offensive and customer-focused product strategy. Porsche remains well positioned from both a product and pricing perspective. Our core assumptions regarding unit sales, supply chain stability and cost trends remain unchanged. Recent news flows underline that global supply chains are expected to remain volatile. The supply bottlenecks at the Dutch chip manufacturer and Nexperia continue for the time being to have no impact on production at Porsche. The Dutch company, Nexperia is not a direct supplier of the Volkswagen Group. However, some Nexperia components are used in vehicle parts with which also Porsche is supplied by its direct suppliers. The Volkswagen Group is currently examining alternative sourcing options in order to minimize possible effects on the supply chain. The company is also in close contact with potential suppliers in this regard. Porsche has also set up a task force. In light of the EU, U.S. agreement on import tariffs, our forecast for the full year reflects the 15% U.S. import duty effective August 1. We are proactively implementing mitigation measures such as targeted pricing adjustments to preserve margin integrity. Without the product-related portfolio decisions made last month, Porsche would have reaffirmed its original group return on sales outlook from Q2 '25, despite persistent market headwinds. As a result we expect group revenue in the range of EUR 37 million to EUR 38 billion, unchanged from our previous guidance. At the lower end of the bandwidth, we anticipate a slightly positive group return on sales and an automotive net cash flow margin of 3%. At the upper end of the bandwidth, the group return on sales is expected to reach 2% and an automotive net cash flow margin of 5%. The latter remains well within the range of our initial guidance from the end of April. The Group's return on sales guidance for full year 2025 reflects approximately EUR 3.1 billion in extraordinary expenses, primarily related to strategic realignment efforts. These include the repositioning of Salesforce Group and adjustments due to recent product portfolio decisions. Also, the Group's return on sales guidance incorporates a high triple-digit million euro impact from U.S. import tariffs. For the full year, automotive net cash flow margin outlook, we anticipate outflows related to our strategic realignment initiatives alongside tariff-related payments of approximately EUR 1.2 billion. Our cash flow guidance of 3% to 5% for the fiscal year reflects a tariff agreement reached between the EU and U.S. authorities. Assuming reimbursement would be recognized post December 31 only, current expectations support maintaining the guidance unchanged. We continue to pursue a disciplined currency hedging strategy. For 2025, substantial exposure has already been secured with significant coverage beyond 2025. This approach supports planning reliability and safeguards margin integrity. Before concluding, let me briefly address our capital allocation strategy. Driven by the new product initiatives aligned with our strategic realignment, we anticipate R&D spending to peak in the current and upcoming fiscal year, followed by a decline. Porsche remains committed to delivering a reliable dividend to our long-term shareholders. Supported by our strong balance sheet and robust cash flow, the Executive Board currently intends to propose a dividend for fiscal year 2025 that deviates from the medium-term policy. In absolute numbers, the proposed dividend is expected to be significantly lower than last year's payout. But it still would clearly exceed the level implied by our medium-term framework of 50% payout ratio. Final approval remains subject to the relevant corporate bodies. Porsche reduced its asset base by more than EUR 1 billion in 2025 compared to previous year. This reflects a significantly lower capitalization rates and reduced CapEx year-over-year. Combined with higher depreciation, amortization and impairments. Looking ahead, our capital asset allocation strategy will increasingly emphasize partnerships and licensing over ownership and vertical integration. This shift will not safeguard but enhance our agility and strategic flexibility. With this, we strive to better seize opportunities in a fundamentally transformed market environment. With a clear focus on involving customer preferences, we are expanding our portfolio to include additional combustion engine and plug-in hybrid models. This strategic move complements our commitment to electrification and ensures a broader offering across key segments. We also continue to execute our successful Halo strategy, anchored by high-impact lighthouse projects that elevate brand desirability and attract high-value customers. Models such as the Cayenne Turbo GT and the 911 Dakar exemplify our unique blend of performance and lifestyle appeal. They reinforce Porsche's identity in the exclusive segment. The latest result of this strategy, the 911 Turbo S has received strong demand and highly positive feedback from both media and customers. This underscores the enduring strengths of the 911 brand. Starting in 2028, a more balanced drivetrain offering will further strengthen our market position and support sustainable long-term growth. We remain also committed to electromobility and view decarbonization as a core societal responsibility. We scale our operations and strengthen long-term resilience, we have already taken decisive steps to align our cost structures and strategic footprint with future market realities. We have initiated a comprehensive workforce transformation targeting both direct and indirect roads in order to ensure organizational agility and efficiency. We are accelerating cost efficiency initiatives across the organization to unlock sustainable savings. In China, we are executing targeting strategic adjustments, including streamlining our dealer network and reinforcing our presence in high-demand regions. Where long-term profitability is no longer viable, we will responsibly reduce our footprint. Originally, we anticipated reducing our dealer network from approximately 150 dealerships down to around 100 by 2027. This target has now been revised downward to around 80 dealerships, reflecting a more focused and profitability driven approach. Additional measures are currently under evaluation. Let me also briefly address the discussions on our future package. As you are aware, management and the workers council are currently engaged in constructive dialogue to jointly shape this initiative. Our shared objective is to enhance the company's resilience, flexibility and agility. Thereby reinforcing our long-term competitiveness in an increasingly dynamic market environment. Importantly, we do not anticipate any significant extraordinary burdens arising from these negotiations. While all these measures will temporarily impact our financials in 2025, they are strategically sound and essential for long-term success. We are confident that this approach will strengthen our position in a dynamic market and support sustainable value creation. Porsche has a proven track record of navigating complex environments, and we are currently managing through another period of macro industry by challenges with strategic clarity and operational discipline. With our strategic realignment, we are executing a clear plan designed to strengthen our brand and to sharpen our product offering. Our focus remains on enhancing product portfolio flexibility, strengthening product individuality, increasing exclusivity, and driving desirability across our portfolio. These efforts are aligned with our long-term ambition to position Porsche for sustained high margin growth and Brazilian profitability. We expect 2025 to represent the trough in the current cycle. From 2026 onwards, we anticipate a meaningful recovery in performance supported by positive momentum from our product portfolio and the profitability measures from Push-to- Pass. And with that, let's turn to your questions. After a short break. Thank you very much.
Operator: Ladies and gentlemen, we will now have a short break before starting the Q&A for analysts and investors. Please hold the line. [Break]
Operator: Ladies and gentlemen at this time we will now begin the question and answer session for the analyst and investors. [Operator Instructions]. With that, I hand over again to Bjorn Scheib.
Björn Scheib: Thank you very much. So we will start the Q&A session for analysts with Tim Rokossa of Deutsche Bank. And then next in the row will be Horst Schneider of Bank of America. Gentlemen, as said, this is a joint media and analyst call. As such, please limit yourself to one or [indiscernible] two questions. Thank you.
Tim Rokossa: This is Tim from Deutsche Bank. I would have 1.5 questions then. So actually pretty good underlying margins and free cash flow numbers, the 12%-13% margin adjusted for one-offs and tariffs. Now tariffs will likely be the new normal, and that also feels like you still need to do some repositioning for the business, fine-tune here and there. Jochen, when can we expect the burden from one-offs to really go away and think about an underlying matching the stated figure? Is that '26 or already during Q4? And then when we think about Q4 and '26, is there any sound bias you can already give us? You sounded pretty confident in your statements. Can we assume that you can possibly improve as of today from the 5% to 7% EBIT margin range that we had previously? Is there any sort of major one-off still to be expected in Q4?
Jochen Breckner: Tim, thank you very much. And as you said, we were really happy with our operational performance in this year for the first 9 months. And as discussed and just also elaborated on, we had various onetime effects that will go away in the future. As of now, we have posted EUR 2.7 billion until September. And this is expenditure. Your question was about cash, but let me start with that one. EUR 2.7 billion that we've already posted for the effects that you know strategic realignment that we committed at the beginning of the year, also organizational adjustments and then the latest decisions on the updated product portfolio. So these expenditures are already digested in Q3. We expect additional one-offs and special expenses in Q4 as we've guided for. So when we look at the full fiscal year 2025, we are very confident that we will reach the 0% to 2% profitability guidance corridor. For '26, no major one-off effects are expected. So the expenditures that we need for the strategic realignment for reorganization, the by far biggest part will be in the books in 2025. Now on the cash flow side, again, a very robust net cash flow by the end of Q3. We have optimized working capital. We have reduced CapEx spending as good as we could. And most of the additional expenditures we had for the one-off effects were not cash relevant until the end of September. Some of them are already gone as cash spending since we are talking about depreciation of capitalized R&D expenditures, for example, and other cash effects are expected to be an headwind in 2026. So again, by the end of this year, cash flow margin will be between 3% and 5% that we've guided for. And having said all that, for the end of 2025, we also will have first effects for the strategic realignment for 2026 pull forward into Q4. 2026, it's too early to guide that year, and we will do that as always, with the official forecast report with the annual press conference. But as I have communicated it earlier and also in this statement, we will be in a substantially better situation on reported numbers. 2025 will be the trough. But having said that, we do not expect on a return on sales level a double-digit performance in 2026. That is something that we will target for the years to come after 2026.
Tim Rokossa: Would you confirm though, your previous statement that a high single-digit margin is possible with everything we know today, obviously, things can still change, right?
Jochen Breckner: You're saying a high single-digit margin is possible for 2026. I would confirm that, yes.
Björn Scheib: Next in the row is Horst of Bank of America, and he will be followed by Sam from Exane BNP.
Horst Schneider: Yes, my first main question that is basically on the tariffs again. I think that's an item that surprised me the most on the upside in this release. So you say it was above EUR 500 million in year-to-date, which implies a burden of something like EUR 100 million, maybe EUR 150 million in Q3. I know the tariff came down, but it looks to me that the impact in Q2 was a little bit overstated. And in Q3, it was basically, there was a benefit from kind of tariff provision release maybe. So maybe you can explain that and also the magnitude of that? And is it right basically that the underlying tariff burden is something like EUR 250 million and not EUR 150 million a quarter?
Jochen Breckner: Yes. Tariff situation was quite complex, Horst. So maybe just for everyone in this call to have everyone on the same sheet of paper. We are 27.5% as of April 3, then the reduction to 15% as of August 1. And on that assumption, we are also guiding the full fiscal year, so that tariffs will remain at 15%. Based on quarterly numbers, we communicated with the H1 numbers that we had effects from the U.S. tariffs around EUR 400 million. And by the end of Q3, cumulative numbers are a bit more than EUR 0.5 billion. And this is a complex math of the varying rates that we had, the 27.5% and the 15%. We did not have the 15% for the full third quarter. That's something that just kicked in by the end of July. So as August 1 and based on these assumptions and facts, by the way, in the actuals, we have made up the tariff numbers. For the full year, we expect a very high 3-digit number. You can do the math. I mean, having the number for the Q2 with the special effects also Q3, lower rate and first pricing mitigation numbers that we have there. So for the full year, we expect the tariff burden to be in the ballpark number, as I've communicated also in the last call. So this is something where we would see around about EUR 0.7 billion for the full fiscal year.
Horst Schneider: Okay. That's great. Just a small follow-up. Would you be able to comment on price/mix in the third quarter? Because you raised prices, maybe you can give a wrap-up again overview by how much? And are any further price increases coming from here? Or you're basically done now with the tariff pricing?
Jochen Breckner: Yes. We've increased pricing for the new model year 2026 across the board for all regions. So that's an effect that depending on the launch of these new cars already started to kick in, in Q3 and will further strengthen the pricing position throughout the year and then also for 2026. On top of that, we had an additional pricing hike in the United States for first compensation measure for the U.S. tariffs to keep our margins on a, say, decent level and coming through pricing as a mitigating effect on and measure on the tariffs, we are planning to have an additional price increase in the months to come. It's not communicated yet and not decided in full detail yet. So that's something you can watch out for, but we really plan to have a second step there. And the full effect of all these pricing measures will be seen in 2026.
Horst Schneider: But just as I got it right on this tariff, you said EUR 0.7 billion for the full year, and you have not released provisions in the third quarter. Did I get that right? Or...
Jochen Breckner: No, I said that for the full year, we expect EUR 0.7 billion as a tariff effect. And that includes and is based on the assumptions that we have paid the 27.5% until the end of July and that we have paid and will pay the 15% from August 1 through December 31.
Björn Scheib: But to be clear, there is no release in any tariff provision or anything as such. Next in the row will be Sam, and he will be followed by Stephen from Bernstein.
Samuel Perry: Building on Tim's question, frankly, around the reversal of one-offs into next year, which judging from your previous answer was that you basically expect them to fully reverse. What's the risk here that with the new CEO, we get further tilts in the strategy into next year and therefore, further one-offs? Or is the assumption that he's going to come in and then adopt the exact strategy that's already been laid out? That would be my first question. Then a quick question on China. Have you seen any impact of the luxury tax that's come in, in demand in August and September or any prebuy in July before it came in?
Jochen Breckner: Yes. So on your first question, Sam, whether we would expect additional strategic realignment decisions with the new CEO coming to our company on January 1, Michael Leiters -- that's something that we will see when he is here. I mean he's not here yet. He's in a competitive situation with his former company, McLaren. So we have not started discussing professional issues and business issues as of now. Having said that, Michael is a well-known colleague. We've worked together in the past when he worked with Porsche, great collaboration, a great guy, and he knows Porsche very well. He knows our strategy, is from the automotive business. So of course, every time a new CEO joins the company, there will be a programmatic approach to that. But from today's perspective, would be early to expect more one-off expenses from my personal perspective. I think the major decisions have been made and are suitable and great decisions for the company. Second question was on China. The baseline for the luxury tax has been lowered to CNY 900,000, which affects our portfolio or some part of our portfolio. We have not seen prebuying effects because that new legislation was launched within 48 hours. So no customer had a chance to really run much into prebuying. So that effect was close to 0, I would say. After the effect, we have conserved prices and protected prices for the existing customers. So demand was on the level that we have seen. And looking forward, the increase of the luxury tax or the lowering of the baseline for the level when the luxury tax kicks in is something that we will monitor. We have looked at our portfolio, and we will come up with strategic decisions on how we can position the one or the other derivative to be in a more competitive situation.
Björn Scheib: So next in the row will be Stephen of Bernstein, and he will be followed by Anthony of ODDO BHF.
Stephen Reitman: My question is about the U.S. I asked on the last call about your the repeal of the IRA, which and the particular lease credit on your BEVs. Could you comment on what's been happening since then, in particular, the pricing and how you're pricing the leases of the Macan Electric and also the Taycan, which I noticed were some of the better performance in the third quarter, at least at the retail level, indulging by some of the data that we can see here.
Jochen Breckner: Yes. You're referring to the $7,500 tax credit. The electric cars were to -- if they are not bought as cash buying -- this is brought on lease contracts. And of course, the deduction of that effect leads to higher lease rates on a monthly basis. And therefore, our products are getting more expensive than they have been. And there we see some minor effects on the demand side, but the effect is significantly lower than you might have expected that it could be given that USD [ 7,500 ] is a rather big number. But as of now, we are quite happy with how the demand developed also at the higher monthly payments that we have to communicate with our Porsche Financial Services offers we have.
Stephen Reitman: And the second question, could you remind us as well what the time line is for the ending of production of the Macan ICE and also for the Cayman and the Boxster, please, ICE versions?
Jochen Breckner: Yes. We still offer the ICE Macan in the regions out of Europe, out of the European Union. We will produce the car well into 2026, and that car will be on offer throughout 2026 and in some markets, even in 2027 based on final stocking that we will do, exact EOP, end of production date still to be decided and planned in the exact planning, but it will be more or less in the middle of 2026. But as I've said, customers will get their cars also throughout 2026 and some even in 2027. On the Boxster and the Cayman, the end of production is here to come. That will be in October. So we are producing the very last cars these days. And then it's the same situation as with the first Macan, the ICE Macan that customers will receive their products throughout the next month.
Björn Scheib: Very good. So next then will be Anthony. And after Anthony, we have Michael. And please note in about 5 minutes, then we move over to the press.
Anthony Dick: Yes. The first one is on just the general kind of margin environment for 2026. So it seems like there's quite a few tailwinds for you, of course, outside of the nonrecurring charges you had in 2025, but you might also be having lower tariff impacts based on that kind of EUR 150 million run rate and also some positive pricing and likely mix also. So I was just wondering what might be preventing you from reaching that double-digit margin in terms of what headwinds should we take into account for 2026? And then the second one is just a follow-up also on the free cash flow. So you mentioned EUR 1.2 billion of cash out this year for the restructuring and the tariffs. Could you actually maybe break that down between the restructuring and the tariffs? And also what remains in 2026 in terms of what cash out remains on the restructuring? And what kind of reimbursement should we expect for the tariffs?
Jochen Breckner: Yes, a couple of questions. Let me answer it. So first, a question on why do we not expect double-digit return on sales performance in 2026, given the quite robust performance that we've seen if you do the reconciliation with all the one-off effects from 2025. In 2026, based on the substantial improvement that we will expect, we also have some headwinds that we have to take into account. First one is product offering. I've just commented on the ICE Macan and also on the runout of the 982, so the Boxster Cayman car, which will have [ last ] sales based on the production that we had so far. But from a portfolio perspective, we will have additional issues where we do not have supply. Second is we do not expect China to recover. So given the trend in China and also in some other markets, our assumption is that our sales will be -- unit sales will be lower in 2026 than expected for 2025. Also, from an FX perspective, as I've said, 2025, almost fully hedged. Also in the years to come, we have quite high and substantial hedging ratios, but there are some open positions and also in 2026, first effects will occur where our FX situation is a little bit weaker than it has been in 2025. And given these effects, we see a huge improvement, really a relevant one single-digit performance in return on sales, but it will take a bit more time to come back to the 2-digit performance. Net cash flow for Q3. So year-to-date Q3 outflows were about almost EUR 900 million. When it comes to U.S. tariffs, that's a bit more than EUR 500 million. And then we had additional spendings on the strategic activities and organizational realignment activities that gives you the number of almost EUR 900 million of special effects on the cash side for the one-offs and U.S. tariffs.
Anthony Dick: For '26 remaining in terms of disbursements related to the realignment and reimbursements related to the tariffs?
Jochen Breckner: But for 2026, we will have, from our perspective and based on our assumptions, a stable tariff situation of 15% import tariffs to the United States. So we will see that in the full year compared to 2.5% in the first quarter, 27.5% until July and then 15% from August through December. If you do the average for these different quarters in this year, for the next year, you will have a similar number that we expect for the next year. So tariffs, stable situation, 15%, more or less a burden as we have it in this year. And for the strategic realignment, the one-off expenses will be -- the really biggest part will be posted in 2025. So we do not expect material effects in 2026.
Björn Scheib: Very good. So next then will be Michael, and then we will hand over to our colleagues of the media. And if we would have time at the end of this call, we will see if we can squeeze in the one or the other question.
Unknown Analyst: A couple of quick ones, if I can. Just in regards to China, the work you're doing in China, can you talk about the cost of that? So shrinking from 150 dealers to 100 now to 80, what have you had to pay the dealers to have them walk away from the contracts that you've got with them? That's the first question. So China compensation, if you like. And then the second question is just around the tariff piece. If I remember rightly, you built inventory in the U.S. on your own books in the first half. Is that the reason why the tariff in the first half looks really high versus what looks to be a very low tariff in Q3 that you were actually burning off that inventory in Q3, which meant the actual tariff impact was smaller?
Jochen Breckner: Yes. Thanks for the questions. On China and the restructuring work that we are doing in the dealer body from 150 to initially 100, and now we're targeting 80 dealers to set up a dealer network that is robust and financially viable and profitable. That's an activity that we are doing in really good cooperation and good talks together with our dealers because they have the same interest in coming up with a business model that works profitably in the Chinese markets as opposed to what we've seen during the last couple of months or years. That comes with the cost. That's clear. But these costs are not substantial compared to the other effects that we have communicated in terms of strategic realignment and restructuring of the company. If there would have been -- we would have incorporated that into our communication. So I'm not in a position to give you an exact number since we're also in negotiation position with our dealers. But as I said, very constructive talks, joint interest in adopting the -- and joint target in adopting the dealer network, the dealer body, and that's something that we can digest in our profitability in the current year and also in the next year when these actions will happen. On tariffs, of course, the cars imported by the end of Q2 had a 27.5%. We had to pay based on the import data that we have. And once you release these cars, of course, the tariffs are posted to the cost of goods sold when we reduce the working capital. So you have some effect there. But I think you should look at the tariff situation, as I commented on it on a yearly basis for the full year, EUR 0.7 billion, and that's also a good estimate for the year to come based on then 15% throughout the year.
Björn Scheib: Before we hand over, may I only clarify one thing. When Jochen talked about lower unit sales next year, we are talking about unit sales to the degree of car sales, wholesales. This is no revenue guidance. This will all come next year, because I already got first questions if this is our revenue guidance. This is no revenue guidance.
Jochen Breckner: Thanks, Bjorn.
Sebastian Rudolph: Okay. colleagues, then we make a short break and then we're right back with the Q&A for the media.
Operator: Ladies and gentlemen, we will now have a short break before beginning the Q&A for the media. Please hold the line. [Break]
Operator: Ladies and gentleman, we will now begin the questions and answer session for the media. [Operator Instructions]. With that, I hand again over to Dr. Sebastian Rudolph. Please go ahead.
Sebastian Rudolph: Yes. Thank you very much, and welcome back colleagues to the Q&A session for the media. We have limited time. It would be great if you limit your questions to one, if possible. And with this, I would say we start with the Financial Times and Sebastian -- just unmute your mic and the floor is yours.
Unknown Attendee: I wanted to ask with respect to the U.S. tariff resolution last week, which has bought somewhat of a tailwind for U.S. carmakers. How do you feel this impacts your position and the position of European car makers relative to other manufacturers with a manufacturing presence in North America.
Jochen Breckner: Sebastian, thanks for the question. If we got you rightly, you're asking about the U.S. tariffs and changes that you were referring to. So commenting on that one, I'm not aware of any relevant changes, as I've just communicated in the other call. We are planning our assumptions on 15% as persisting and remaining tariffs for cars to be imported. I know that there are some political decisions on the truck business where trucks might be affected, but it's not relevant for us as passenger car manufacturers. So again, we are paying 15% since August 1, and that's our assumption for the end of this year and also for the next year.
Sebastian Rudolph: The next question goes to Rachel Moore of [ Reuters ]. Please, Rachel.
Unknown Attendee: I wanted to ask if there is an update on the measures that will be required as part of the restructuring. You have the second package of measures currently under negotiation. Can we expect more job cuts? And what's the time line on that?
Jochen Breckner: Rachel, we have started the negotiation on the second package. We call it the future package because that's a package that will really improve the competitiveness of our business model and our sites in Germany. We do that internally. The discussions and negotiations with our workers' council. So we are not in a position yet to communicate anything detailed because it's not agreed and we're not do not want to discuss this in public. We do that on ICE level with the partners from the works council. But what I can say is that we are targeting significant measures, and you were talking about job positions on that one, I would like to comment that a major part of the future package is not about job positions, but rather on salary levels and additional perks and compensation elements that we have in our current baseline.
Sebastian Rudolph: Question goes to Stephen Wilmot, Wall Street Journal, Stephen, please.
Unknown Attendee: Question, I just wanted to ask, can you give us any -- beyond the second package that you just talked about, what are you doing internally to reflect the strategic realignment that you've provided for in your financial results. Can you give us any kind of indication of what -- what is going on internally in terms of kind of teams being allocated to hybrids or other kind of projects that reflects the strategic realignment?
Jochen Breckner: Yes. I mean we -- when it comes to our R&D work and our product portfolio work, we have a multi project planning approach and we are staffing the projects along our cycle plan and strategy as the projects come along and needs to be developed. And based on the later decisions that we -- that we would push out the new electric platform and the car projects, the heads, as we call them, that were planned to be on that platform. Of course, we've updated our multi-project planning approach and have redistributed, if I may say so, our colleagues and experts in R&D, but also in other areas of the company from that platform and that car projects into the other ones that we will develop to put our portfolio in a more flexible position starting as of '28. So that's a bit of a process of change, but it's nothing special in general. We do that regularly because projects come, projects go, projects are finalized. So engineers and all the other colleagues and experts need to be allocated to various tasks. And in with the latest decisions, it has been a little bit bigger than a task to execute it. But in general, that's a daily business, and we are executing that, yes, in a very stringent way, and colleagues are already working on the new cars on the ICE and plug-in hybrid drivetrains that we communicated. Maybe if I may add one thing. This has nothing to do with the second package. So this is, as I said, a daily work, reallocating experts, engineers resources the second package, the future package we're talking about is more about structural changes.
Sebastian Rudolph: We have one more question on our list. That's why I repeat. [Operator Instructions]. So with this, Monica, Bloomberg, the floor is yours.
Unknown Attendee: We've heard quite a bit from Mr. Blume already in previous calls about Porsche's intention to expand the [indiscernible] program, and that individualization and sort of higher-margin vehicles will play an important role in Porsche's future strategy. I was wondering if we could hear a bit more color or details on what structural changes or concrete measures are being taken to expand that program? And what would need to be offset for that expansion, specifically in Zuffenhausen physically, if facilities need to be expanded if more people need to be onboarded, et cetera?
Jochen Breckner: Yes, Monica, thanks for that question. The exclusive and [indiscernible] manufacturer, as we call it, business is really key to our strategy is one key pillar for the brand, but also in that part of the business for highly profitable margins. We will expand that business as communicated earlier, and we will do that step-by-step in a very cautious way because in that area of our business model, it's really key that we keep scarcity and keep it as a luxury part of the business. So this is a step-by-step approach year-by-year. We have already increased significantly the capacity and also the output in that area throughout the last years and over the next 2, 3, 5 years until the end of this decade, substantial increases in terms of output will be organized in our operational model. This will come with additional capacity in that area of our business model, but we are not planning for a substantial additional hires to organize that one. That is something where we -- as I just said in the answer to the other question, our multi-project planning, given the staff and the workforce we have we will organize the increase in capacity in the [ Zonda bunch ] and exclusive manufacturer program. When it comes to assets, buildings, machinery, et cetera, again, our plant in Zuffenhausen is big enough to -- yes, to implement the increases in the Zonda bunch exclusive manufacturers. So there are no significant CapEx expenditures planned to organize that part of the business on the growth path that we've entered.
Sebastian Rudolph: I would take 2 last questions. The first goes to [ Stuttgarter Zeitung ] then we finish with Dow Jones. So Matthias Schmidt, you go first, Stuttgarter Zeitung -- second, please.
Unknown Attendee: Just one short question. Is the new CEO already involved in the negotiations on the second package?
Jochen Breckner: I just repeat because it was acoustically hard to. It's the upcoming CEO already involved in the negotiations. We're talking about the [indiscernible] package. Yes. No, he's not. Michael Leiters will join the company on January 1. He's not with the company yet. Decisions have been made that he will join the company. We are looking forward to welcoming and a portion working together with him. But given the situation, competitive situation with also the other company that you used to work for, we are not in discussions in any direct work with him yet. We will start that as of January 1. And given the fact that he's been with Porsche for quite some years. And then afterwards, is a highly respected expert in the automotive industry, we really expect to have a fast start and the kick start in Jan 2026, but no actions so far.
Sebastian Rudolph: Then we have the last question for today, Markus Klausen, Dow Jones.
Unknown Attendee: One question regarding the analyst call. You said Mr. Breckner, to be 100% sure that next year, Porsche will reach high single-digit return. And then year ahead, 2027, a double-digit return is possible. And is it reasonable to assume that Porsche will once again achieve a return of 80% at some point in the future? Or is it no longer within reach?
Jochen Breckner: Yes. So first, let me confirm that we are expecting high single-digit return on sales next year. That's correct. Second, we've communicated that our ambition is a 10% to 15% profitability, margin and range in the midterm. And whether the midterm starts in 2027 or maybe a bit later, that's something that we still have to see that's 2 years from now, so do not give exact guidance on that one. I can't comment on 2026 -- sorry, on 2027 more precisely. But I think the most important information is high one single-digit margin in 2026, not double digit, and then we take it from there. And as of 2028, the positive effects from our strategic realignment will start to kick in.
Unknown Attendee: Okay. And 18% is within reach in some point in the future? Or is it no longer reachable?
Jochen Breckner: Yes. I mean I just said that we communicated that our ambition is to have a return on sales in the midterm between 10% to 15%. That's a way to go. We have taken the decisions to get there and higher margins would have been even higher than the 10% to 15%. So from today's perspective, I would not confirm a target of 18%. That's why we communicated a range of 10% to 15%.
Unknown Executive: And as a surprising factor, Jose, you had been quite tenacious patient and weighted in the queue right to the end. This is a sports company that is incentivizing this passion. So that was last in a row is Jose of JPMorgan
Jochen Breckner: Jose, great to hear you, looking forward to your question.
Jose Asumendi: Thank you so much and thank you very much for the opportunity, and apologies to yes, coming the last one here. Simple question, please. As we think about the next 6 months, 12 months, medium term, but a bit more like in '26. I'm sure you're launching new vehicles, right? So which vehicles do you think will drive the momentum in '26? When do you expect Cayenne electric to start helping a bit P&L in that sense.
Jochen Breckner: Yes. From a model availability perspective, Jose, I've already commented on the fact that the 982, the Boxster Cayman is in the runout phase, also the H1 ICE car is still available in some markets out of the -- outside of the European Union in 2026, but that car is also starting its runout phase, but that will take a bit longer than with the Boxster and Cayman. A positive momentum we can expect from the completely newly developed full electric Cayenne, what we call internally the Cayenne E4 that car is about to be launched in 2026. And that's in addition to the existing Cayenne lineup. So we expect that we will gain some market share in the Cayenne segment then given the fact that we have the ICE plug-in hybrids and also electric cars. On top of that, we've just launched the very important derivative, the icon in the icon model line. I'm talking about the 911 Turbo S in the 911 model line in the Munich Auto Fair,and that car will be available by the end of this year and, therefore, will give us tailwinds, especially when it comes to margin and also brand and company positioning in 2026. And given all these effects, maybe also combined with a weaker demand in China that we expect will put us in a position to reach the 1-digit profitability margin I've just talked about. And Yes, that's how we look at 2026 from portfolio and also sales unit perspective.
Sebastian Rudolph: And with this -- both of us say thank you to Bjorn. And for myself, I say thank you to Bjorn as well. And for your colleagues from the media and also analysts and investors for the joint call. Have a good weekend, and see you. Bye-bye.
Jochen Breckner: Thank you, everyone, for joining. Thanks for your questions. Talk soon.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect. Thank you for joining, and have a pleasant day. Goodbye.